Operator: Good morning. My name is Christie, and I'll be your conference operator today. At this time, I would like to welcome everyone to The Madison Square Garden Company Fiscal 2019 Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Ari Danes, Senior Vice President of Investor Relations for The Madison Square Garden Company. Please go ahead, sir.
Ari Danes: Thanks, Christie. Good morning and welcome to The Madison Square Garden Company's fiscal 2019 fourth quarter earnings conference call. Our President, Andy Lustgarten will begin this morning's call with an update on the company's operations. This will be followed by a review of our financial results with Victoria Mink, our EVP and Chief Financial Officer. After our prepared remarks we will open up the call for questions. If you do not have a copy of today's earnings release it is available on the Investors section of our corporate website. Please take note of the following; today's discussion may contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties and that actual results, developments and events may differ materially from those in the forward-looking statements as a result of various factors. These include financial community perceptions of the company and its business, operations, financial condition and the industry in which it operates as well as the factors described in the company's filings with the Securities and Exchange Commission. Including the sections entitled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations contained therein. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. On Pages 5 and 6 of today's earnings release, we provide consolidated statements of operations and a reconciliation of operating income to adjusted operating income or AOI, a non-GAAP financial measure. Lastly, on Pages 8 and 9 of the release, we present a reconciliation of AOI to AOI excluding the impact of ASC Topic 606, the new accounting standard for revenue recognition. And with that, I'll now turn the call over to Andy.
Andy Lustgarten: Thank you, Ari. Before I turn to our core business, I'd like to talk about where we stand with the Company's key strategic initiatives. We made significant progress on our plan to grow beyond our existing portfolio of assets by pioneering the next generation of entertainment with MSG Sphere, and as we execute on our vision for the state-of-the-art venues. We continue to actively pursue the proposed spin-off of our sports business; a transaction we believe would strengthen our financial flexibility and help drive long-term value creation for our shareholders. You heard us talk previously about the merits of the proposed spin-off. We remain confident that this separation would better highlight the unique value of the Knicks and Rangers franchises. We continue to expect that the entertainment company would retain an approximate one-third equity interest in the sports company. This equity stake will be used to help fund our growth plans and for other corporate purposes and would also be available for potential tax-free exchange for entertainment company shares, while we know this is taking longer than expected, we remain firmly committed to completing this important transaction which we now anticipate will happen in the first quarter of calendar 2020. The spin-off is of course, are still subject to various closing conditions including League and final MSG Board approvals. As I mentioned earlier, this transaction would strengthen our ability to execute on our plans for MSG Sphere, an initiative we continue to make meaningful progress off. In June, we announced that we engaged AECOM as our general contractor for MSG Sphere in Las Vegas. AECOM is known as a leading builder of stadium and entertainment facilities and we believe their experiences make them the ideal partner. In Las Vegas, we've reached significant milestones over the past several months, we completed grading, mass excavation and drilling deep foundations, and have now begun to work on shallow foundations and installation of below grade infrastructure. We've also started to building a basement walls, and stair and elevator, cores and columns. Our goal remains to open Las Vegas venue during calendar 2021 and we are increasingly excited about the transformative nature of the MSG Sphere. Las Vegas is one of the world's top entertainment destinations, with over 40 million visitors annually, many of whom are looking for new experiences, we're going to give it to them. MSG Sphere will be an entirely new platform, unlike anything we've ever seen. Of course, we expect that will attract the type of events you see at any world-class venue; concerts, award shows, select sporting events, etcetera. However, we believe it will enable us to create entirely new forms of entertainment, some unexpected. For instance with an interior display, the size of three football fields we believe MSG Sphere will completely redefine how companies think about product launches and when you add that we're directly connected to the Sands Expo Center, we see this is a very compelling opportunity. Moreover, we do not intend to just rely on traditional content to drive the venues utilization. We plan to take a page out of Christmas Spectacular playbook with a goal of creating original attractions that showcase the venue state-of-the-art technology and run multiple times a day, a year round. From an event count perspective, we believe these attractions will result in MSG Sphere being the most highly utilized venue in our portfolio and also serve as content that we can leverage across future MSG Sphere. In addition to events, MSG Spheres groundbreaking platform will create unprecedented opportunities for companies to engage with very valuable audience, which we anticipate translating into meaningful high margin sponsorship revenue for the company and we've said from the beginning, we believe the MSG Sphere will reimagine the live experience, redefine the venue model and become a valuable long-term asset for our company. Turning to our operations; for fiscal 2019, we generated a 5% increase in total company revenue, while overall AOI was lower on a year-over-year basis. If we take a deeper dive into the results, we see a far more compelling story. Let's start with MSG Entertainment. Our booking business had another record setting year, with a 10% increase in the number of events held at our venues, which translated into a high-single digit percentage revenue growth on an underlying basis, and while bookings results for the fiscal fourth quarter were lower year-over-year. As we look out -- our start to fiscal 2020, we are currently pacing ahead of last year at this time in terms of the number of confirmed events plus shows that have already taken place. The Christmas Spectacular had an equally impressive year with highlights that include over 1 million tickets sold for the shows a week run, mid-single-digit percentage growth in both paid attendance and average ticket prices and the double-digit percentage increase in revenues. Rounding out the success and entertainment was ongoing revenue growth across both sponsorship and suites during fiscal 2019, a continued reflection of the value we bring to our partners. There were however items that offset these achievements, a few of which I'll touch on now. First, as we discussed previously, TAO Group had lower results year-over-year in the first half of fiscal 2019. A portion of the decrease was pre-opening expenses related to the popular TAO restaurant in Chicago. Since the first half, we have seen improvement as the business was essentially flat year-over-year on our third quarter and return to modest growth in our fourth quarter. TAO Group has also continued to execute on its venue expansion plans, which in addition to TAO Chicago include opening a new venue in New York and Singapore. TAO Group had been a terrific strategic partner for our company, both here at the Garden where they will play a larger role this coming season in our food and hospitality offerings, as well as in Las Vegas where they're helping to create a world-class guest experience for MSG Sphere. With regard to Obscura and Boston Calling; while AOI for both of these businesses were lower this year, as we previously discussed we are winding down Obscura's third-party business so we could focus those resources on MSG Sphere. And for Boston Calling, we've reworked our strategy which we believe will return the Boston [ph] to profitability. Now turning to MSG Sports; for fiscal 2019, we saw growth across a number of categories including league distributions, local media rights and suite license fees. We also saw solid growth in our sports booking business as we had a particularly successful year in attracting Marquee sporting events or venues. However, there are items that offset this growth in sports. The team performance of the Knicks and Rangers has weighed on our -- per game revenues for tickets food, beverage and merchandise sales. We were also impacted by higher team personnel costs including a player waiver earlier this year, as well as higher marketing costs as we spend more to support our in-game sales. Looking ahead, we continue to strengthen both teams with long-term goal of building championship caliber franchises. The Rangers hence in next season with several key additions, including the number two overall pick Kaapo Kakko, the lead forward Artemi Panarin and defenseman Jacob Trouba. Meanwhile, the Knicks have continued to build on their young core with the number of -- with a number of additions, including the number three overall trade pick Duke star, RJ Barrett along with free agents such as Julius Randle, Marcus Morris and Bobby Portis. We look forward to the new season with both teams. With respect to sponsorships with another year of growth, with an increase in entertainment, while sports revenue was flat with the prior year which we again contribute to the team performance. There were a number of new partnerships that contributed to our growth, including one with Montefiore Health System, Verizon and Hulu. This year we also marked the start of our multi-year marketing partnership with PepsiCo and as we recently shared, we completed a multiyear renewal with longstanding partner Ticketmaster on both the sponsorship and ticketing fronts. In addition to everyone -- everything we've talked about with regard to our segments on a total company basis, we are also impacted by higher SG&A expenses including ongoing investment in personnel as we move forward with our growth plans as well as costs associated with the proposed sports spin-off. So in summary, while fiscal 2019 had many moving parts, there was much to be excited about in terms of the underlying results of our business and our long-term prospects. At entertainment, we see an opportunity to continue growing important areas such as booking and productions while at sports we see broad based upside potential, especially as both the Knicks and Rangers improve their performance over time. We have also made significant progress in readying our company for its next chapter and expect fiscal 2020 to be an important year as we work to complete our sports spin-off and as our MSG Sphere in Las Vegas begins to take shape. With that I will turn the call over to Victoria.
Victoria Mink: Thank you, Andy, and good morning, everyone. Before I discuss our fourth quarter financial performance, I'd like to take a moment to discuss the update we provided on costs for our Las Vegas venue in this morning's earnings release. We disclosed that in May, our Board of Directors approved a preliminary construction budget of $1.2 billion. In addition, as part of the contractual process of setting the incentive benchmark for establishing AECOM's fees, AECOM has provided us with an initial proposal that together with additional core technology and soft costs results in a project cost estimate of $1.7 billion. We think AECOM's estimate is too high, and as part of the contractual process, we are reviewing and challenging our contractors estimates and assumptions. We believe as a result of this process that we will be successful in achieving significant cost reductions. Now turning to our fourth quarter results, on a reported basis MSG generated total revenues of $263.6 million and an adjusted operating loss of $34.9 million excluding the impact of the new revenue recognition accounting standard we would have generated total revenues of $326.2 million, an increase of 3%, and AOI of positive $3.7 million, an increase of $5 million, both as compared with the prior year quarter. At MSG Entertainment revenues of $174 million decreased 6% the largest driver of the decrease was lower event related revenues from concerts with a decrease at the Garden and Forum, partially offset by growth at the Beacon and Chicago theaters. In addition, we had a decrease in revenues for the Boston Calling festival, along with lower suite license fees, due to the new revenue accounting standard while segment revenues were also impacted by the wind down of Obscura's third-party business. These decreases were partially offset by higher TAO Group revenues and higher sponsorship and signage revenues. Fourth quarter AOI of $1.1 million decreased by $7.1 million primarily due to the decrease in revenues partially offset by lower direct operating expenses. The decrease in direct operating expenses was primarily due to lower event-related expenses from concerts and to a lesser extent, lower venue operating costs as well as lower expenses for Obscura Digital and the Boston Calling festival. This was partially offset by higher TAO Group expenses. Excluding the impact of the new accounting standard entertainment revenues for the fourth quarter would have been $180.9 million, a decrease of 3% and AOI would have been $3.6 million, a decrease of $4.6 million, both as compared to the prior year quarter. At MSG Sports; revenues of $90 million decreased 32%, this was primarily due to the new revenue recognition standard which significantly impacted most of our revenue lines. This was partially offset by higher event related revenues from other live sporting events. While fourth quarter revenues at MSG Sports were impacted by ASC Topic 606 on a full-year basis, the impact of the new accounting standard was negligible. MSG Sports AOI in the fourth quarter decreased by $16.5 million to a loss of $5.7 million, which primarily reflects the decrease in revenues partially offset by lower direct operating expenses. The decrease in direct operating expenses was primarily due to lower net provisions for certain team personnel transactions as we recorded significant expense in the prior year quarter. In addition, we had lower team personnel compensation costs with the overall decrease in expenses, partially offset by higher event-related expenses from other live sporting events. Excluding the impact of the new accounting standard MSG Sports revenues for the fourth quarter would have been $145.7 million, an increase of 10%, and AOI would have been $30.4 million, an increase of $19.6 million, both as compared to the prior year quarter. Corporate and other adjusted operating loss of $30.3 million increased $10.1 million year-over-year, primarily due to higher professional fees and higher employee compensation and related benefits. Looking ahead to fiscal 2020, we expect to see increased expenses in our corporate and other line. This reflects additional investment in personnel, content and technology to help drive our MSG Sphere initiatives. Now turning to our balance sheet, as of June 30 total unrestricted cash and cash equivalents and short-term investments were approximately $1.2 billion. In addition, there have been no borrowings made under either our $150 million New York Rangers revolving credit facility or our $215 million New York Knicks credit facilities. In May, we refinanced TAO Group's debt to a 40 -- a new $40 million term loan and a new revolving credit facility, $15 million of which was drawn down as part of the refinancing. In addition, we put into place a $49 million subordinated loan with MSG as the lender to TAO Group. The original $110 million term loan was put in place at the time of our acquisition of a 62.5% equity interest in TAO Group. This refinancing provides for significantly lower annual interest expense and principal payments giving TAO Group enhanced flexibility to pursue its expansion plans. With that I will now turn the call back over to Ari.
Ari Danes: Thanks, Victoria. Christie, can we open up the call for questions.
Operator: [Operator Instructions] And your first question is from Bryan Goldberg of Bank of America Merrill Lynch.
Bryan Goldberg: Thanks. Thanks for the extra color on the Las Vegas Sphere opportunity. I was wondering, if you could dig a little into earnings power implications. Historically, it's been our observation that you've been able to generate double-digit cash on cash returns on capital projects like the transformation of the Garden and the Forum and I'm just wondering, given the size of the Las Vegas budget. Do you see a similar path towards double-digit returns on this level of spend or is there a different return profile we should have in mind? And then I have a quick follow-up.
Andy Lustgarten: Bryan, thanks for question. So let's -- I talked about it before, but I'll -- let me talk about it again in a little more detail. We believe this project, it's going to revolutionize live entertainment. We think that like any other venue it has the base levels of revenue, it has the ability to book concerts, it has the ability to book some sporting events just like any other venue, but then it has the ability to book co-host of new types of performances, those that we create through our traction business that we're going to run multiple times a day. And for the corporate events, it's going to be the host of anybody looking to launch a product, we're hopefully anybody looking at the launch a product and this will be the place to tell your story, and it will be a place where a sponsors need to reach these multi-million number of the fans coming to experience love story that's been told. The attraction business is something that doesn't exist, we're going to be taking people places where they've never gone before both experiencing at visually as well as feeling it, smelling it and hearing it and we think that this is going to create a whole new hosts of revenue that no other venue or no other -- no one else has and we really think this is going to be a killer.
Bryan Goldberg: Okay, thanks. And then I guess it's kind of like a housekeeping item, with respect to the incentive benchmark that you disclosed that you're negotiating with AECOM, when do you expect to land on a final benchmark figure, and is this an item you intend to disclose going forward.
Victoria Mink: Brian, it's Victoria. So the incentive benchmark has a tremendous amount of detail and information, a lot of estimates and assumptions. So at this point, we're in the middle of the contractually mandated period over which we can negotiate this incentive benchmark. So at this point, we think it could run into the fall. It also could be extended further and, of course, we will see when that's resolved with the appropriate disclosure would be at that time.
Bryan Goldberg: All right, thank you very much.
Operator: Thank you. Your next question is coming from Brandon Ross.
Brandon Ross: Hi guys, thanks for taking the questions. First, there is a pretty wide gulf between your $1.2 billion Spheres estimate and a AECOM's $1.7 billion. Maybe you could tell us what -- what gives you the confidence that the project will come in closer to your projection than theirs -- are there is may be specific cost areas that their projections seem too high. And then I have a follow-up.
Victoria Mink: Yes, sure, Brandon. So as I had just -- in answering Bryan question is indicating, and there is a tremendous amount of detail and estimates and assumptions, but let me just take a step back. The $1.2 billion cost estimate was for budgeting and forecasting purposes and it was based on schematic designs at that time. The $1.7 billion is based on an estimate from the contractor for fee setting purposes and it's part of a cost plus contract, with the contractor of course is incentivized to propose a higher cost estimate as it gives them a more favorable benchmark, but as we stated we think the estimate is too high, and we are in this process of reviewing and challenging those assumptions. We also plan to value engineer aspects of the project to further reduce costs. So we do believe as a result of both of these efforts that we'll be successful in achieving significant cost reductions. As an aside, there are a number of other benefits to a cost plus contract for example, we pay the cost of the actual materials and labor plus a negotiated percentage fee, which means we don't pay an estimated or fixed amount that typically includes a substantial cushion for the contractor, we're also able to negotiate a more -- play a more vigilant role in the negotiation process, which we believe will maximize the quality of the work and help manage the projects costs. Now this includes having full transparency into the selection of the negotiation with all of the labor and materials utilized by the subcontractors, so we -- we think this is going to be a very detailed process and that's why we are -- we believe there'll be some significant savings.
Brandon Ross: Great. And then just earlier in the call, you said that -- the time -- I think you said the timing of the spend would be pushed to calendar Q1 of '20, is there a specific reason or any more color that you could give for that?
Andy Lustgarten: So look -- we acknowledge, it's taken a little longer than we would have liked. We're fully committed to moving it forward, and it's just a process and we're working our way through it, but don't read into anything further than we're working our way through this process and where will -- we are anticipating have it done in first quarter.
Brandon Ross: Great, thanks guys.
Operator: Thank you. Your next question is from David Karnovsky of JPMorgan.
David Karnovsky: Hi, good morning. Just following up on the Spheres, the numbers you've given of $1.2 million to $1.7 million, can we assume that range is also appropriate to apply to the London Sphere and assuming that is the case, can you just update us on the overall financing for the projects? Thanks.
Andy Lustgarten: So, on the London Sphere with -- it will be largely similar to the Vegas Sphere but not identical, we are very focused as we talked about -- that have the internal or be replicable. So that we can share content across venues and leverage -- leverage that part of the business, so that we can drive utilization of both venues, but we're also very early in our design. It's a smaller piece of land and there will be things that are not identical and so we don't much -- we don't have a lot further in terms of cost estimates for London at this time.
Victoria Mink: Yes, and David, on some of the second part of your question, the entertainment company is going to start with over $1 billion of cash on hand which we have just about $1 billion on our balance sheet now, plus another $100 million or so in British pounds. So with the proposed spin-off, we also have the approximate one-third equity interest in the sports company. So we believe that's going to provide the company with significant financial flexibility to pursue these growth plans and as we said before, we will always explore additional ways to further strengthen our financial flexibility, if we believe that makes sense for the company.
David Karnovsky: Okay. And then just on TAO you called out higher revenues versus I think flat last quarter. Can you just break down that performance, a little bit, how much of this is driven by new venues relative to your existing locations. And then I think last quarter you had mentioned working with TAO management to operate the business more efficiently. Can you just update where you are in that process. Thanks.
Victoria Mink: Sure. Yes, so we're pleased. I mean, the TAO group returned to overall growth in the fourth quarter. We don't break out the profitability of the various businesses, but I can tell you that TAO generated a revenue increase of $4.6 million on a year-over-year basis in the fourth quarter, and just as a reminder, we report TAO Group's results on a three month lag. Yes, but when we think about the different mix on an overall basis, a lot of the revenue would drive on the $4.6 million was due to the opening of the TAO Chicago in September. So we've been really pleased with that -- with that venue, which has been somewhat offset by the impact of closing one venue after a 15-year run and another venue in New York area that was underperforming. So, a bit of a mix there, but I think overall, we have been working closely with the TAO management group, and I think that they really focused in its --certainly starting to show in the results, which are certainly trending better than they were earlier this fiscal year.
David Karnovsky: Thank you.
Operator: Thank you. Your next question is from David Miller of Imperial Capital.
David Miller: Couple of questions. Andy, once the spin happens for Q1 of next year, what are your personal plans in terms of which side you expect to lead? And then I have a couple of follow-ups. Thanks.
Andy Lustgarten: We're still working through management structures of both entities. Jim being our Chairman and CEO, and we're working through the rest right now.
David Miller: Okay. And then Victoria, I'm just still trying to parse out whether the miss on the sports line is due to Topic 606 or just lower suite revenue for the teams, the narrative, would you guys for a long time had been that just with the loyalty of the fan base, the suites we're always sold out regardless of key performance, but it feels like that's shifted a bit. I'm wondering if you agree with that or if this -- if this is all due to Topic 606. Thanks.
Victoria Mink: Sure. So, David, I mean Topic 606 has just been a theme throughout this entire year, unfortunate on a quarter-on-quarter base. It's just created so much noise, so and we're fortunate that this will be the last quarter of that noise but I will say on the -- if you exclude 606 and we look at the suites in Q4, they were basically flat and you obviously think some of the product was impacted by team performance a little bit, but on a full-year basis we did it mid-single-digit increases in our total suite revenue across the company. So I think we continue to be pleased with that, but obviously we look forward to an improving teams in fiscal '20.
Operator: Thank you. Your next question is from -- I'm sorry, go ahead.
Andy Lustgarten: Okay, Christie, we will take the next caller.
Operator: Your next question is from David Joyce of Evercore ISI.
David Joyce: Thank you. A couple of questions related to the Spheres, can you help us think about the phasing of the construction costs for Las Vegas and assuming London's cost is going to be in the same range, where are you on the process of getting the final approvals and really coming off with the budget there. Thank you.
Victoria Mink: Sure. Let me take the first part of that question, David. So, as we disclosed in the earnings release inception to-date we spent $109 million on this core construction costs, and we expect to see those cost ramping-up and our cash outflow ramping over the next few years until the opening in calendar 2021.
Andy Lustgarten: In terms of timing with London. So, we are in the middle of our planning application process, we've submitted it in March. We expect to hear the termination by the end of calendar 2019, but that could continue and become subject to further discussions with the planning authority; and once we assume, we will receive planning permission, we will then get further into design and eventually construction as quickly as we can, but there is clearly some work to be done.
David Joyce: Okay. And on the funding options for the Spheres, do you have any -- more tangible sense of the structure of monetizing that -- the third of the stake in the teams?
Andy Lustgarten: So, it's just -- we're not -- we have nothing more to report at this time on that. Well, I'm sorry, I can't give you more, but...
David Joyce: All right, thank you.
Operator: Thank you. Your next question is…
Andy Lustgarten: We'll take one last caller. Thanks.
Operator: Your final question is from Brett Harriss of G-Research.
Brett Harriss: Hi, thanks for taking the question. Just -- first a quick one, any update on the filing of the Form-10 for the separation. I guess, what are the gaining factors for that document at this point. And then just secondly, anything more you can see in the timing on the finalization of the construction cost for the Vegas Sphere, I guess, given the project already started, when do you expect to have a final cost estimate. Thank you.
Victoria Mink: Sure, Brett. We continue to work on the Form-10 and the various appropriate SEC filings as we move towards the proposed spin-off. I mean, now with our filing of our 10-K for The Madison Square Garden Company later today, we would expect to be doing our confidential filing in the next coming few months but in accordance with our timeline. And then as far as the overall Sphere costs, I don't think there is much to add beyond what I've previously addressed in the call.
Brett Harriss: Okay, thank you.
Operator: We have no further questions at this time, I will now turn the call over to Ari Danes for any additional or closing remarks.
Ari Danes: Thank you all for joining us. We look forward to speaking with you on our next earnings call. Have a good day.
Victoria Mink: Goodbye.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.